Operator: Good day, and welcome to the IAC Reports Q3 2015 Result Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jeff Kip. Please go ahead sir.
Jeff Kip: Thanks operator. Good morning everybody. Welcome to our third quarter earnings call. With me today is Joey Levin, CEO. As you know, we are limited to securities laws to what we can say due to the previously announced Match IPO. Greg Blatt, Chairman of The Match Group is fully engaged in our process and won't be joining the call today. Thus we are not going to be in a position to answer question regarding the Match Group, beyond what has already been put out there in the press release, our published remarks and the Match Group, Inc's S-1 filling, which we will direct you to. As a reminder, we will also not be reading our prepared remarks on this call. They are currently available on the Investor Relations section of our website. Before we get to Q&A, I would like to remind you that during this call we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in the second quarter press release and our periodic reports filed with the SEC. Today, we will also discuss certain non-GAAP measures which, as a reminder, include adjusted EBITDA, which we will refer to today as EBITDA for simplicity during the call. I will also refer you to our press release, and again to the Investor Relations section of our website for all comparable GAAP measures, and full reconciliations for all material non-GAAP measures. With that, we will jump right in the Q&A. Operator?
Operator: Thank you. [Operator Instructions] We will take our first question from Jason Helfstein with Oppenheimer. Your line is now open.
Jason Helfstein: Thanks. Jeff, just to start out with three-part question on search and then one kind of accounting question. On search, one, can you tell us what Google revenues were per year under the old deal, let's say, 2014. How this compares to your forecast for $1 billion per year on average going forward? Any color kind of around that comment and how to compare? Two, for this year, can you breakdown the search revenues between Google and non-Google and perhaps help understand the margin difference between the two revenue streams. Then related to the new Google deal? When we think about the Google policy changes historically have created disincentive for IAC to invest in user growth and new products. Does the new deal do anything to incentivize IAC to invest in search growth? Then just on the kind of accounting side is the Company considering changing segment reporting post the Match into provides individual segment results for home advisor and home advisor and Vimeo. Thanks.
Joey Levin: This is Joey. I think, I will take all of those. On old Google revenues, I think the number in 2014 was about $1.4 billion. Just to put in context $4 billion, when we announced our deal going way back car deal in 2007, I think, we said we do $3.5 billion in that deal for five years and we signed a new deal about three years in and we had already done I think more than $2 billion in revenue and growing nicely. In 2011, we did our deal. We said, we do $5 billion of revenue over the five years on that deal and that deal is still not done and we have already done over $6 billion. I do not say that all to imply that we will beat the $4 billion. I just say that it is a long way out. It is not a precise projection. It is not a precise forecast. It is a rough estimate of what we think is possible or theoretical. I think the other thing that is important going into your second question, about 85% of revenue in the Search and App segment comes from Google. That has gone down a bit over time and the non-Google revenue is higher-margin than the Google revenue. Also, when we think about the parts of the Google revenue that will change in the context of this new deal, it is generally parts that are lower margin, so one of the things that we talked about is the mobile rev share changing. Google mobile revenue today is part of the Search and Apps segment is about 15% of that segment revenue and it is lower margins, but is also much more heavily weighted towards Apps and significantly less weighted than what we call premier publishing properties. When you add that all up, the stuff that is being impacted is going to be lower margins stuff and stuff where we have had generally more trouble. If we talk about the applications piece of it, also going to be more impacted on the B2B side, where again there has been volatility on that over the last few years. When we put the whole thing together, I am sure we signed a great deal. We are very optimistic about the future of that business. We will set a new baseline as we have done before and we will grow from there. As far as segment reporting, we are looking very hard at that and hope to be able to provide a little more clarity pretty soon.
Jason Helfstein: Thank you.
Operator: Our next question comes from John Blackledge with Cowen and Company. Your line is now open.
John Blackledge: Great. Thank you. Just wondered if you can quantify the media revenue step down impact or how should we think about Google revenue for 2016. Also, if you can quantify the impact to EBITDA, if EBITDA is running at $300 million in 2015, how should we think about the 2016 EBITDA? Then pivoting over to home advisor, the EBITDA margin was close to 10% this quarter versus about 6% in 2Q '15, how should we think about the long-term margin trajectory at that business? Thank you.
Jeff Kip: We are not going to give a 2016 forecast yet. I think that is too early. This is not a dramatic cut to the business. This is some adjustments and adjustments in areas again I think is lower margin and some of the areas that have demonstrate weakness over the last few years, so the business is still very healthy and will do very nice cash flow. We are not going to share specifically - economics on mobile, but just again to help frame it a little bit, we have been preparing for what we thought might be a change in the mobile economics for a little while now. We, on About.com for example, if you look at the same period two years ago, our mobile revenue on About.com, was coming 100% from Google. Now our mobile revenue on About.com is coming less than 20% from Google and we know we have alternatives there that monetize very well, so on those publishing businesses I think there will be very healthy and new relationship. On home advisor, what was the question on home advisor?
John Blackledge: The question was the margins the EBITDA margins looked like close to 10% versus about our estimated 6% in Q2, just talk about with revenue growing very quickly, so just how we should think about the long-term margin trajectory for the business.
Jeff Kip: We talked about this a little bit last quarter. I think the answer stays the same. We could see 15% to 20% long-term margins in this business. We could see better than that in that business, but we are not focused on the near-term margin for it right now. The about home advisor is when you have got the system working, it is a virtue of cycle, so we just got crossed 100,000 service professionals last week, which is a huge milestone for us and we crossed it faster than we thought. In fact, we beat the confetti [ph] toppers that were mailed out to all the office. We got a 100,000 before [ph] got there, so we had a bit of a delayed celebration. The bigger the service professional network is, the more you satisfy the consumers, the more frequently they come back and more frequently the consumers come back, the happier the service professionals are with more demand and we are seeing that happen in the business. The increased service provider retention and the increased home homeowner repeat rate, drops straight down to the bottom-line, but right now we are reinvesting that. We are reinvestment them in sales resources. We are reinvesting them in product and we are reinvesting them in marketing and I expect that to continue. In some ways, we won't be able to help ourselves delivering more margin next year and same thing as you saw in this last quarter, but we see huge opportunities for growth here, so we are focused on growing it and the market share.
John Blackledge: Thank you.
Operator: Our next question comes from Peter Stabler with Wells Fargo. Your line is now open.
Peter Stabler: Thanks for taking the question. Joey, could you give us a little bit more color around your comments in the prepared script around the transition from opt-out to opt-in. Just give us a sense of which products you are talking about and how much that is impacting your forecast for the next couple of years. Then secondly, could you let us know whether FX had any margin impact on that the business this quarter. Thanks.
Joey Levin: Yes. I will let Jeff take the FX one. On opt-out, opt-in, we are not giving up our right to do opt-out, so a portion of our business will continue on an opt-out basis, but long-term it is healthy for us to move towards opt-in distribution of our software or at least a portion of our software and that has been working very nicely so far. We have not perfected that on every browser, so we are working on that right now, but where we have done it, we have seen increases in conversion and increases in retention and overall increases in customer satisfaction. Long-term, we see that as a good thing for the business, but near-term it requires some adjustments and that we are working through right now. I think it is a short-term impact on the business, but long-term we will be just fine one the business.
Peter Stabler: Is that primarily a B2B?
Joey Levin: Yes. It is much more an issue for B2B than B2C. I think there is some impact on B2C, but it is more on the B2B side. B2C, we have always said, we much more control our destiny on B2C, so we own the distribution from marketing to conversion to customer relationship et cetera. On B2B, it is just sometimes hard to adjust to the flow of things through partners.
Peter Stabler: Jeff, margin impact and then if you could touch on, did you guys have any negative impact from the credit card chip issue?
Jeff Kip: First on margin impact, I think across I see really revenues were impacted as much as EBITDA was varied a little bit by business, but you are talking about a little bit of leverage, a little bit of the deleverage either way nothing material. Across our businesses, no. I did not think we really saw that much of an impact at all on the credit card issue.
Peter Stabler: Thanks. Our next question comes from Ross Sandler with Deutsche Bank. Your line is now open. Ross Sandler with Deutsche Bank, please check the mute function on your phone.
Joey Levin: Why do not we just let Ross come back if he is not there?
Operator: We will take our next question from Brian Fitzgerald with Jefferies. Your line is now open.
Tim O'Shea: Yes. Hi. It is Tim O'Shea for Brian Fitzgerald. Thank you for taking my question. There has been a lot of talk about ad blockers I am just wondering if you are seeing any impact either on desktop or mobile. Then I have a follow-up. Thanks.
Joey Levin: Yes. On mobile it has been negligible. I think, we would see less than 1%-type impact. On desktop, we see an impact maybe measuring something in the teens, not accelerating, but the probably somewhere in the teens impact. I think, we under indexed towards relative to the general internet on ad blocking. I think partially, because we drive lot of traffic through advertising. By definition if we acquire the user through an app, then they are going to see an ad when they get to our site, also because just our demographic is less likely to be adopting ad blockers. I think it is something we have to pay a lot of attention to. The industry has to pay a lot of attention to and the solution is going to be adjustments in ads, better ads. The solution is not going to be that everyone on the internet is just going to give away their content for free with no ads. There is technological solutions to it and there is just better practice solutions and we are looking at all of those things. I am not hugely worried about the impact there, but it is something that we are absolutely focused on and I do not think it is meaningfully costing us financially right now.
Tim O'Shea: Thanks. Then looking at the mobile component of the Google deal, I was wondering if you could quantify the delta between the current and former revenue share. Then maybe how that revenue share compares to what you get on desktop. Then just also the deals non-exclusive, can you just remind me maybe who are the other partners you are working with here? Thanks.
Joey Levin: Yes. We can't quantify other than to say it is lower. On other partners, there is a bunch of other partners in this space. I think our solution on mobile is going to be a combination of proprietary ad products. Google ad products and other third-party ad product, I think there is a bunch of the players that offer ads in mobile being Facebook. I mean, the list runs very long. We have deals in place with handful of partners and we are going to spend a lot more time figuring out exactly what the optimal solution now is and what great deal is.
Tim O'Shea: Thank you.
Operator: Our next question comes from Heath Terry with Goldman Sachs. Your line is now open.
Heath Terry: Great. Thanks just have about a couple of questions on the deal really in part to follow up on some of the things that Peter asked about. Will the move to opt-in on some of these products begin before the current deal ends or do you plan to sort of carry out current performance all the way or current structure all the way up until the new deal goes into place next year. Then can you also give us some examples of specific products where you have moved to opt-in and what has happened to the conversion rates once you have made that move. You mentioned specifically in the prepared remarks that this is a change to the way you handle search default. I just wanted to make sure that also includes homepage setting opt-in as well. Then if you can also just remind us what percentage of the business is coming from B2B versus B2C and what portion of the business you envision staying opt-out that would be helpful. Sorry, I know that was a lot.
Joey Levin: Yes. I am not sure I got them all, but let me try. On opt-in and when we will start to move, we have been moving for a while now. That move will continue up until the new deal. I think it will accelerate to some extent in Q2 2016, but that move has been happening and will continue to happen up until then. In terms of products on opt-in most of our B2C products on Chrome are now opt-in or native, essentially actually using the native extension format available in browsers, so that transition has largely happened. On the question of default search, again, in Chrome for example on our B2C products, we are not offering a default search product today. We are not offering a toolbar today. We are just offering new tab products, so I think the answers your question, but you can ask more a bit. On B2B and B2C, the - let me just see if I can hold the split. In terms of revenue, Jeff, did we disclose B2B versus B2C before?
Jeff Kip: We said in the past they were roughly half.
Joey Levin: Yes. That is materially different now. I mean, I think it is, call it, roughly a quarter is B2B right now, so 75-25 B2C B2B. Was there other question there Heath?
Heath Terry: Maybe just on the on the example question, I was thinking more along the lines are there specific products like Football Fanatics or one of the others that used to be opt-out that has moved to opt-in or you can give us an example of sort of what has happened in conversion rates there. Correct me if I am wrong, but in the case of Chrome just because the way Chrome structured, you have actually never had an opt-out format on chrome, but I could obviously be wrong about that.
Joey Levin: Yes. I think a while back, we did have opt-out format in Chrome and that has been changing for a while now, but substantially changed I think over a year ago. We can get you a list of products. We will follow up with the list of products and what happens on conversion is, - well, I can't quantify it right now. We have generally seen an increase in conversion and an increase in retention, but that is an increase in conversion and retention on a product that by virtue of opt-in versus opt-out has less unit economics within it, so that is kind of the trade out there.
Heath Terry: Okay. Great. Thank you.
Operator: Our next question comes from Ross Sandler with Deutsche Bank. Your line is now open.
Ross Sandler: Okay. Let us try this again. Can you guys hear me?
Joey Levin: Yes.
Ross Sandler: Great. Okay. Most of these questions have been already answered, but a couple of other kind of nitpicky issues in search. Joey you just said that about 85% of the revenue comes from Google and if it is going to be a $1 billion a year, going forward that implies some modest, call it, $200 million or so downtick, so is that reflective of future traffic it is from this opt-in or opt-out issue or is that you moving away from Google in mobile without any traffic impact. Then on mobile, I guess, what are the other options that you are using to monetize outside the Google and how do they compare from like PS standpoint? Then you just give the breakdown of the B2B versus of B2C apps side of the business. If we look at the website side, what would be the rough breakdown today of organic versus paid traffic within the websites revenue. Like is it half and half organic paid or is it a different percentage? Thank you.
Joey Levin: On your first question, does our estimate include - yes, look, our thoughts right now is it includes - that is our best guess on putting everything into the mix. On Mobile alternatives, it is - again I will go back to the about example. Significant portion of that moved to display ads. When you look at our publishing properties, the search ads are helpful, specific search ads, but we also - just the nature of the content, things like display and other sorts of products work well, so on about I think a substantial portion of that transition had been to display I think that is the reasonable model for other properties. I think, again less relevant for ask and I think that is where we will see most of the impact on the mobile change, but on the other publishing property, there is a lot of alternatives, a lot of alternatives that look like display or other sorts of native ad units. The question of organic versus paid, I think it is roughly two-third organic, one-third paid, is that right Jeff?
Jeff Kip: About the run rate.
Joey Levin: Does that answer all your questions, Ross?
Operator: Our next question comes from Chris Merwin with Barclays. Your line is now open.
Chris Merwin: Great. Thank you. First for home advisor, I think you mentioned that network affecting some of the product changes that changes were driver of the acceleration in top-line growth. Can you just talk a bit about the pace of marketing spend this past quarter? What role if any that played in the accelerating growth or if it was really just a function of those organic improvements that you made. Then secondly, in Vimeo are you able to provide any updates on revenue growth rates there? I think you have given those in the past periodically, so just wondering if you could update us there? Thanks.
Joey Levin: Jeff, I will let you take the second one. You can help me with the details on the first, but absolutely marketing is a factor too. I would like to mention that, but when you get the service provider network growing and when you get the service provider network bigger, you can get much more efficient on your marketing. Meaning, you can satisfy demand and more DMAs if you are doing national marketing, so we have absolutely increased that and that has on a ROI positive basis and that has been great. I mean, I do not know. We have disclosed the numbers there, but it is certainly up in terms of marketing.
Jeff Kip: As you mentioned, the engagement and spend from the average service professional is up significantly year-over-year and retention has improved dramatically. I think, we mentioned about 1,500 basis points on the last call, so the LTV of the service providers tripled and it is those guys who are supplying the revenue and fulfilling the customers and that the SP network is the biggest driver. Either way, you can think about TV kind of replacing other paid marketing.
Joey Levin: Then there was a question on…
Joey Levin: I think we said in the prepared remarks Vimeo growth accelerated this quarter, reaccelerate to 27% on a net basis.
Chris Merwin: Got it. Thanks guys.
Joey Levin: Sure.
Operator: Our next question comes from Mark Mahaney with RBC Capital Markets. Your line is now open.
Mark Mahaney: Thanks. Two questions. One on home advisor, could you just probably just explained why the accepts to request ratio has been kind of trending down over the last two years. Then secondly I think this has been asked a couple of times, but I will try another way which is the deal going forward is exclusive desktop non-exclusive mobile and I guess that my surprise would be I would have thought that you would have had fewer options on the mobile side, so I would have expected that to be exclusive in the desktop non-exclusive. Any just general help in thinking about industry options that would explain why you chose the exclusivity on desktop versus on mobile? Thank you.
Joey Levin: Okay. The home advisor question, A, we have had such tremendous success on the consumer traffic side. We have been running 40% and 50% up on unique. Our repeat rate has been going up and up. Our TV returns have been far better. They are far more positive than we ever expected. We have tremendous consumer demand. I think one of the unique things about home advisor is it has got a really sophisticated algorithm for matching up demand to supply and distributing over the course of the month, so I think we have been really efficient there. I think secondly, we built in a product, where we end up having because the subscribers pay some subscription, they pay subscription we have some matches not show off is request, because people go through the directory which the service provider subscribe through. Then finally, we have been driving two new one-to-one products, which are now 7% of all our service requests, which are always single matches, which are online booking and online calls, which have average just down a little bit, but those are higher price point, as we have mentioned for a higher satisfaction, so I think we are pretty pleased about that. Sort of net, we are fine with the trend and then we think we are fulfilling more service provider demand and more consumer demand.
Jeff Kip: On the mobile exclusivity, look in terms of what decisions we made, all the various terms go into to the kind of mixing pot of how we work out a deal and come out in way or another, so it is hard to say why we did one thing on one particular slice of the business and then another thing on an another particular slice of the business, because they all come with relative trade-offs. The publishing property just kind of premiere publishing properties we have talked about, just use less search ads, some used no search ads, some used less search ads, so it is not a huge focus of those businesses, not a huge portion of those businesses. Again, on the alternatives, there is display, there is other third-parties who provide mobile ad like Facebook, like Twitter, like Bing et cetera. Those are all available options and the proprietary option has been working for us on the about side. I think on the Apps business, the Google mobile revenue, as I said in the remarks is negligible, so really the impact on that is going to be primarily within the Apps business and look, the Apps business has come down over time for a whole host of reasons which we have talked about on previous calls and I think this development does not help the apps business, but it is sort of a non-factor for the rest of those businesses.
Mark Mahaney: Okay. Thanks Joey. Thanks, Jeff.
Joey Levin: Welcome.
Operator: Our next question comes from Eric Sheridan with UBS. Your line is now open.
Eric Sheridan: Thanks for taking the questions, maybe one on Vimeo, one on home advisor. On Vimeo, how should we think it longer-term about the ability for sort of video-on-demand versus subscription to sort of trend longer-term and how you sort of think about the revenue mix. Then on the home advisor piece, how should we think about capital allocation in that business longer-term against potential competition from larger players versus existing competition with smaller players? Thanks.
Joey Levin: On Vimeo, the business today is substantially weighted toward subscription, but VOD business is growing much faster and growing very nicely. It is still small, but it is growing very nicely. If I look at many years, I see VOD being a, whether it is transactional VOD or subscription VOD, I see VOD being a huge portion of that business if we are doing things right over time. It is just a massive market and I think given our structure we ought to be able to take a piece of that. On home advisor, on the competitive market, look, we like where we stand right now in home advisor. We like our growth, we like our product, we like our consumer satisfaction, which is going up nicely. We like our service provider satisfaction, which is going up very nicely. We like the place we are in, we like the product that we are delivering and it is a hard, hard category. We have been at it for 11 years. Just under our ownership, we have been at it for 11 years and through a lot of changes and it takes a long time to build up the service provider network and that ends up being a real mote to the business, because like I said before it allows you to satisfy more consumers, it allows you to do more marketing and it allows you to in any given transaction between a consumer and the service provider make the best match. Meaning, when there is competition among the service providers for the consumer, you can deliver the highest quality service professionals to the consumer make the best match, so that is a real network effect and we are finally again 11 years into it starting to see the benefit of that. There is a lot of people who seem to think this is easy and we are watching everybody who has come into it, a lot of companies have raised money recently, a lot of the established players have come into the market and we have not seen a model when we looked at it and we look at all, and we have not seen the models where we said holy cow these guys have got it. They have figured it out, a lot of them are going after it in fact the same way we have gone after it just 10 years ago. We like the place we think competitively. We look at some of the big players, I think I talked about this a little bit last call. Guys who are focused on high volume low margin as it relates to service professionals, that does not work for quality service professionals and that does not work for quality work, again, there are formidable competitors, but it is you got to have a real custom energy here, you got to have a real custom product here and we built that and we like the way it is working.
Operator: Our next question comes from Brian Nowak with Morgan Stanley. Your line is now open.
Brian Nowak: Thanks for taking my questions. You mentioned in the prepared remarks 40% of the app revenue is opt-in what did that look like a year ago and how do you see that phasing over the next couple of years as you manage the shift? Then just to go back to your earlier comments, what percentage do you see staying opt-out and how did you go about determining that percentage kind of long-term and I have one more follow-up?
Joey Levin: Sure. I do not know off the top of my head where the 40% was a year ago, but it was small, so that has been continuing to grow and will continue to grow. In terms of opt-out looking forward, it will be a minority. I do not think it goes to zero, but it will be a minority and I think that, look part of it is decisions we have made, part of it is components of the agreement with Google and part of it is just the reality of the browsers and the operating systems. I mean the browsers and the operating systems are more and more pushing software and extensions to use their native environments and their native environments look much more like opt-in than opt-out, so kind of independent of everything that is where the industry is headed and that is where we are headed ahead of it or with it, so the short answer is a minority. I do not ever sort of precise number for you and you had another question, Brian.
Brian Nowak: Yes. Just to go back to earlier answer, which opt-in apps are the biggest opt-in app revenue drivers at this point if you can name a few of the apps that are the most successful opt-in?
Jeff Kip: Yes. Let me get you guys a list on that. I do not have in front of me, but let us get you guys a list on that.
Operator: Our next question comes from Dan Kurnos with Benchmark. Your line is now open.
Dan Kurnos: Great. Thanks for taking my questions. Joey, first off, I guess, this is going to be sound funny given the line of questioning earlier, but actually congrats on the Google deal. Given what we know about the marketplace I think you guys probably got the best possible deal in the current environment. Frankly, with both Yahoo and Google already pushing for lower take rates on mobile this was kind of inevitable and we have seen things and others already make great strides to narrow the RPM gaps, so just turning back to the mobile piece I guess could you maybe talk about any metrics on the user experience you have seen when mixing and matching desktop and mobile solutions? We know the mobile experience and monetization process feels a little bit different to begin with, but just wondered what you are seeing there, then we know About posted strong results in the quarter, just curious if the recent plan to rollback or refresh has been reversing anyway to positive SEO trends? I know you talked about legacy businesses continuing to struggle, but have you seen any impact on the content publishing side. Then just lastly, long-term thought process on B2B. Obviously, you are doing well in B2C. Even though it was down year-to-year, it seems like maybe it got a little less worst now. Obviously, there are going to be some changes with opt-in mobile, but we know BlueCore is getting out of the search game, so I was just curious about how you feel about continuing to participate in B2B? Thanks.
Joey Levin: Sure. On mobile desktop monetization, where mobile continues to grow nicely and the gap between mobile and desktop continues to narrow. I think our model desktop monetization was probably 20% or something like that ballpark year-on-year this year, so that is nice. It is nice to see that gap narrowing. I think that continues to narrow over time. On SEO, we have not seen a ton of movement this quarter, neither positive nor negative. I think, again, a few properties picked up a tiny bid, a few properties lost the tiny bid, but I do not think there has been a big swing in terms of SEO recently. I think that the way this is just what we are hearing in the marketplace, and I think a lot of people just guess here, but the way that algorithms work now is changes happen kind of more constantly over time and to a lesser magnitude, so there is not these moments where the all Internet traffic bridge shifts. Now that may not be the cases. It is just how we have sort of seen it lately and who knows what will happen going forward, but that is just what we are seeing at least. On B2B, your question was how is that doing? Look, I think I said it in the remarks, that business has had trouble over the last few years and the changes in our agreements do not make it easier. I think, the B2C business is healthy and we are excited about it. I think the B2B business has profit in it and it is okay, but I am not going to say that we are sort of soft there, because I do not think we are totally soft there.
Operator: We will go next to Victor Anthony with Axiom Capital. Your line is now open.
Victor Anthony: Yes. Sure. Thanks. Just a piggyback question on Vimeo, so nicely growing asset, I think just a lot of optionality I think ahead for that business going forward, so how should we think about the level of investment needed to continue to growing that business? Second just in a post match world or IAC, how should we think about you guys? This is still more of the same an integrated assets capital return. Are there any opportunities for you to least pickup more grow the assets in the market today?
Joey Levin: I will answer the second one first. Then maybe go to Jeff on the first one, which I think that is on investment in Vimeo. I couldn't totally hear it. Look, think about IAC in the post match world is we have got I think four big bets. We will have a pile of cash and we will keep doing what we have always done. If you look at IAC, we talked about this a little bit. I think there is once Match goes public, I think there will be age-independent public companies out of what was IAC eight years ago, which is kind of a tremendous accomplishment and something that we have not really celebrated ever, but is very much in our DNA. Most companies, when they have a business like Match, and or businesses like we have had in the past which are leaders and their categories and doing very well, they hold on to those businesses. Our philosophy is when you get those businesses and when they reach that level of scale and when they have that sort of independence that we give them their own currency and set them up on their own and because we think that generally best for shareholders. Now, the timing of that is something that is always complicated, but that is generally our philosophy in building, assembling, growing, nurturing these businesses and I think we have got a bunch bets within IAC that have the potential to be the next one and we absolutely will make more bets over time both, supplementing our existing businesses and finding new business. I think, we are very active in the market looking at things and we will continue to be kind of forever. We will look at those the four big bets in IAC right now. We have got home advisor, we have got Vimeo, we have got the publishing businesses and we have got the applications businesses and all of them have a good standalone trajectory, all of them have the opportunity to use more capital efficiently and like the future on each one, so I am pretty excited about the post match world in terms of what we are in IAC and I will turn it back to Jeff on Vimeo question.
Jeff Kip: Yes. If I could just to ask you to repeat it, because I did not pick up all of it when you first said it?
Dan Kurnos: Yes. I was just curious about the level of investment that you foreseen Vimeo seems to be - it is a unique asset I think fast growing. It looks like there is opportunity to really grow it quiet substantially over the next several years, so what is the level of investment should we think about for that business?
Jeff Kip: Look, I think we have invested in it is very significantly. It is a big piece of the media investment line that you see this year. I think that that level of investment will come down somewhat next year, and when you look at media and e-commerce on a combined level, you will actually see some profit there next year, but we expect to continue to invest in media. I mean I think there is two key areas. One is very profitable lifetime marketing, where we have incredible retention rates in that business and we are able to market to creators who in turn bring viewers and also internal upload content that feeds into our whole view in ecosystem both free and paid. Then secondly, we have strategically and selectively made some investments in content to also help the ecosystem. I think we continue to plan to do that and I think, look, our revenues are going to grow and that will naturally reduce the overall investment in the businesses as we make more money, but I think we fully expect to continue to invest.
Dan Kurnos: Thank you.
Operator: It appears that we have no further questions at this time.
Joey Levin: Thanks, everyone.
Jeff Kip: Thanks very much.
Operator: This does concludes today's teleconference. You may now disconnect. Thank you. Have a great day.